Operator: Good morning and welcome to the Popular Incorporated First Quarter 2018 Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Investor Relations Officer, Brett Scheiner. Please go ahead, sir.
Brett Scheiner: Good morning and thank you for joining us on today’s call. Today, I’m joined by our CEO, Ignacio Alvarez; our CFO, Carlos Vazquez; and our CRO, Lidio Soriano. They will review our first quarter results and then answer your questions. They will be joined in the Q&A session by other members of our management team. Before we start, I would like to remind you that on today’s call, we may make forward-looking statements that are based on management’s current expectations and are subject to risks and uncertainties. Factors that could cause actual results to differ materially from these forward-looking statements are set forth within today’s earnings press release and are detailed in our SEC filings, our financial quarterly release and supplements. You may find today’s press release and our SEC filings on our webpage at popular.com. I’ll now turn the call over to Mr. Ignacio Alvarez.
Ignacio Alvarez: Good morning and thank you for joining the call. The impact of the hurricanes continued to affect Puerto Rico, though the recovery efforts have yielded meaningful progress and our operations have returned to normal. While the electrical system remains fragile, power generation is currently at approximately 95% of normal production, up from 30% at the end of October. Debit and credit card activity after the storm was severely impacted by the power and telecom service interruptions. However, for the first quarter, the dollar value of our clients’ transaction exceeded the first quarter of 2017 reflected in higher fee income this quarter compared to the same quarter last year. First quarter consumer loan origination was approximately 96% of first quarter 2017’s pre-hurricane levels. The trends are encouraging with credit demand in some sectors like auto and personal loans continuing to show faster recovery compared to others, such as mortgage. New car sales for the first quarter of the year are up 12% from the first quarter of last year. Our auto loan production is up 30% compared to the first quarter of last year. On the commercial side, we expect additional lending opportunities to come in sectors such as construction. Already for the first time in roughly a decade, cement sales are up year-over-year to the highest level in the last 10 year period. The pace of economic recovery will be heavily dependent on the magnitude and timing of federal recovery and private insurance funds flowing into Puerto Rico. These funds, which are estimated to exceed $60 billion over the next six years, are likely to have a simulative effect on the economy. Insurance companies continue to make advances to our clients, and the pace while slower than many would like has yielded over $2 billion so far out of an amount estimated by the Puerto Rico Oversight Board to exceed $8 billion. Regarding federal funds, more than $2.6 billion and FEMA emergency funds have been awarded in emergency relief assistance to individuals, public corporation, and municipalities. The Puerto Rico physical plan anticipates over $50 billion of federal recovery fund over the next six years. The effect of these funds would be tampered somewhat by the austerity contained within the recently approved fiscal plan. The new plan released last week contains a number of fiscal and structural reforms designed to improve fiscal stability on the island. The successful execution of this plan will require discipline and increased cooperation between the oversight board and the local government. Recently received passenger data from the San Juan airport reflects that the net number of people who left the islands in September is at approximately 224,000. However, despite the increased pace of our migration and the interruption to the operation of many businesses, employment was down only 3% or 25,000 jobs in March compared to August, the month immediately preceding the hurricane. Much of the decline remains in the hospitality sector, jobs we expect to return once larger tourist hotels reopen. Notwithstanding the impact of the hurricanes and the declining population, Popular’s deposits and number of customers were up for the first quarter and since the date of the hurricane. Looking beyond the immediate impact and the recovery process, the island's longer term economic prospects will depend on the decisions regarding Puerto Rico's rebuilding. The island facing long standing structural problems now has a unique opportunity to tackle them. The goal is not to get back to where we were but to make important fundamental changes in areas such as energy, housing, health and education. Now, let me address the highlights of the first quarter. Please turn to Slide 3 to touch upon the first quarter highlights. In the first quarter, Popular reported net income of $91 million compared to last quarter’s adjusted net income of $66 million. We grew commercial loans in our U.S. business by 3%, increased our total deposit base by nearly $2 billion and announced an agreement to purchase $1.8 billion of auto loans in Puerto Rico. Our capital levels remain strong with Tier 1 capital and Tier 1 common ratio at 16.8% at quarter end. Total non-performing assets including cover loans of $739 million or up from $743 million last quarter. Non-covered, non-performing loans increased to $607 million from $551 million. Non-performing loans were 2.5% of non-covered loans compared to 2.3% last quarter. Lidio will explain these results later in the call. The key takeaways from this quarter's results were a normalization of our operation with credit demand, client activity and fee income generally returning to pre-hurricane levels. Please turn to Slide 4, as Carlos discusses our financial results in further detail.
Carlos Vazquez: Thank you, Ignacio and good morning. Slide 4 presents our financial results for the first quarter. Additional information is provided in the appendix. Today's earnings press release details variances from the fourth quarter driven by the higher net interest income and higher fee income. Net interest income for the first quarter was $393 million, up $6 million from the fourth quarter. On higher loan volume as well as higher volumes and rate on investments. Our net interest margin was 3.89% down 1 basis point from last quarter. The reduction is mostly due to asset mix as balances increasing our lower yielding investment portfolio. Our overall asset yields were steady. The average yield of our $1.7 billion Westernbank loan portfolio increased to 8.74% from 8.59% last quarter. Over time we expect this yield to decline as a result of repayments and resolutions. The runoff in this portfolio has slowed considerably in recent quarters. The cost of our interest bearing deposits was up 3 basis points to 57 basis points mostly due to a higher cost of Puerto Rico government deposits. This is 1 basis point higher than the first quarter of 2017 and flat with the first quarter of 2016. For 2018, we anticipate slight growth in overall loan balances with U.S. growth more than compensating for Westernbank runoff. In our U.S. operations commercial portfolio grew at 3% in the first quarter and we continue to see a strong pipeline. Loan balances in Puerto Rico are expected to remain relatively flat, but so we are encouraged by recent rebound in credit demand. On February 14, we announced the agreement to purchase $1.8 billion of consumer, auto and other related commercial loans in Puerto Rico from Wells Fargo. We continue to expect approximately $34 million of net income from this purchase in the first 12 months after closing. We remain hopeful the transaction will close during the second quarter. Additional information is available in the 8-K we filed alongside the announcement of this transaction in February. For the first quarter, non-interest income excluding FDIC loss-share activity increased by $38 million as our operations continued to normalize. The increase is mostly due to the negative fee income effects of the hurricane and the write-down of our MSR in the first quarter. Fee income for the previous was higher than the first quarter of 2017. FDIC loss share expense increased by $11 million, as a result of quarterly valuation of the FDIC true-up liabilities. Our Puerto Rico mortgage business originated $145 million of loans in the first quarter. Often the hurricane affected $98 million in the fourth quarter. Despite this improvement, we have seen a [indiscernible] loss at a pace below pre-storm volumes. Total operating expenses for the quarter were $322 million, flat to last quarter with more business promotion expense offset by future lending higher personnel costs. For the full year 2018, we’ll continue to expect operating expenses to average $328 million per quarter. In 2018, we expect our tax rate to be approximately 22%, incorporating the effect of U.S. tax reform. Please remember that the U.S. tax reform only affects Popular’s U.S. based income. Please turn to Slide 5. We continued to enjoy strong capital levels related to Mainland and Puerto Rico peers as well as with respect to well-capitalized regulatory requirements. Tangible book value in the quarter was $42.61, down from $43.2 last quarter as the increase in our operating earnings was offset by the payment of our corporate income and stock dividends, annual realized losses in our securities portfolio caused by changes in interest rates. Our Common Equity Tier 1 ratio was 16.8%, up 50 basis points, as the realized losses in securities portfolio do not effect regulatory capital. Regarding additional capital actions, we continue our discussions with regulators, and are still hopeful for an update around the middle of the year. We will continue to pursue our target of a double-digit return intangible equity, while keeping capital levels are appropriate for Popular’s risk profile. With that, I turn the call over to Lidio.
Lidio Soriano: Thank you, Carlos, and good morning. In Puerto Rico, credit quality metrics continue to reflect the aftermath of the Hurricane Maria. Notwithstanding that, we feel encouraged by trends in our portfolio. In consumer lending, delinquencies are near for hurricane levels expect for the credit card portfolio which has experienced an increase in delinquencies related to certain customers exceeding their approved credit limit due to interest payments accumulated during the moratorium period. These of course the new payment to increase significantly as we require payments to bring the balance back to the approved limit. Alternative payment strategies are being implemented to assist these customers. Consumer charge-offs have been higher post Hurricane impacted by the payment moratorium and the temporary cost of collection activities. In charge-off for the consumer portfolios are directly related to delinquency levels, it is suspect that, the charge-off will stabilize as delinquency do. In the mortgage portfolio, NPL increase was payment moratorium by $61 million mainly due to customers, it will be evaluated for repayment options related to the deferred payments during the moratorium, either a short-term payment plan, a piggy back loan or a loan restructuring. Early delinquencies are slightly above pre-hurricane levels. Mortgage charge-offs were relatively high during the moratorium when with the interruption of collection activity, the number of loans subject to credit loss increase. However, during the first quarter of 2018, mortgage, mortgage net charge-off were below pre-hurricane levels. In commercial lending, overall credit metrics during the quarter remains stable and near pre-hurricane levels, despite higher quarter-over-quarter early delinquency. The increasing early delinquency largely reflects the end of the moratorium period, recidivism of a large borrower and certain delinquencies related to loans in the renewal process. Even though we have noticed some credit quality deterioration in certain small and medium enterprise portfolio segments, we continue to feel encouraged by overall trends. Commercial NPLs and net charge-off decreased slightly during the first quarter, compared to the prior quarter. In the U.S., excluding the taxi medallion portfolio, asset quality remains strong. Please turn to Slide 6 to begin the discussion. Our current outstanding, direct exposure to the debt of Puerto Rico government, municipalities and other instrumentalities is $481 million, decreasing by $2 million from the prior quarters. At the end of the quarter, we had no direct exposures to the debt of Puerto Rico Central Government or its public corporations. Our municipality exposure consists mainly of senior priority loans to a select group of municipalities, whose revenues are largely independent of the Central Government. In most cases, the good faith, credit, and unlimited taxing power of each municipality is pledged for the repayment of the loans. Our top exposures are to four large municipalities in this one metro area. Carolina where the airport and several major choice hotels are located. San Juan, the capital of Puerto Rico was now the municipality with the highest per capita income and the second most populous municipalities. These municipalities comprise 74% of our total exposure. We also have indirect lending facilities, in which the government acts as a gun ton, the largest of such exposure is in the form of residential mortgage loans to individual borrowers in which the government provides a guarantee similar to FHL programs in the U.S. Turn to Slide 7 to discuss credit metrics for the quarter. As discussed in the introduction nearly every credit quality metric for Puerto Rico has been affected by the moratorium Puerto Rico and Maria. Non-performing assets included covered loans increased by $36 million to $779 million this quarter driven by an ample increase of $56 million offset in part by a decrease in OREO of $20 million. The increasing NPLs was driven by higher Puerto Rico mortgage NPLs of $51 million mainly due to customers who are being elevated for post moratorium options. In the U.S., NPLs decreased by $6 million driven by decreases of $3 million on both the mortgage and commercial portfolios. At the end of the first quarter, the ratio of NPLs to total loans housing portfolio increased to 2.5% from 2.3% in the prior quarter. Returning to pre-hurricane levels. The decreasing OREOs was mainly in Puerto Rico driven by the combined effect of the resumption of sales effort and lower inflows due to the suspension of foreclosure activity as a result of Hurricane Maria. Please turn to Slide 8, to discuss NPL inflows. The first quarter of 2017 are only $2 million of inflows to NPL, due to the payment moratoria. This quarter inflows of NPLs held in portfolio increased by $98 million mainly driven by higher inflows in the Puerto Rico mortgage portfolio of $107 million prompted by the end of the payment moratorium and customers being evaluated for repayment plan options. Puerto Rico NPL inflows in the first quarter were up $23 million from the third quarter of last year. NPL inflows in the U.S. were down $5 million to $4 million for the quarter. Turning to Slide 9, net charge-offs amounted to $53 million or analyzed 90 basis points of average loans held in portfolio, compared to $94 million or 1.6% in the fourth quarter of last year. The decrease of $41 million for the fourth quarter of 2017 was mainly driven by a decrease of $24 million related to the U.S. Taxi Medallion portfolio coupled with a decrease of $18 million in Puerto Rico. Puerto Rico’s fourth quarter charge-off activity was impacted by the temporary falls in collection efforts after the hurricanes. The corporation’s allowance for loan losses increased by $17 million from the prior quarter to $607 million. This was mainly driven by an increase of $60 million in Puerto Rico due to the effects of a single commercial borrower impart offset by a downward adjustments to the estimated losses associated with Hurricane Maria of $8 million. The provision for loan losses remains relatively flat at $69 million quarter-over-quarter with the provision in Puerto Rico increasing by $4 million with the opposite impact in the U.S. The provision for the U.S. included $12 million related to the taxi portfolio. At the end of the first quarter of the year, our taxi medallion portfolio had on pay principal balance of $230 million. Net of reserve, the current value of this portfolio is $71 million or approximately 31% of its unpaid principal balance, representing less than 1% of our total loan portfolio. 95% of the taxi portfolio is in New York City with an average carrying loan value of $99,000 for New York Medallion. To summarize, credit quality methods in Puerto Rico continue to be impacted by the aftermath of Hurricane Maria. The first quarter metrics reflect higher inflows on non-performing loans, largely attributed to the end of the payment moratorium. We continue to monitor credit quality trends, given the uncertainties that remain regarding the full effect of the hurricanes on the loan portfolio, we are encouraged by positive working credit results. In the U.S., we continue to reflect strong growth and favorable credit quality metrics. With that, I would like to turn the call over to Ignacio for his concluding remarks. Thank you.
Ignacio Alvarez: Thank you, Lidio and Carlos for your updates. To summarize, our first quarter results reflect strong margins, higher net interest income, fee income above pre-hurricane levels and relatively stable credit metrics. As you can see in Slide 10, there are many factors that are driving value for our shareholders. Strong earning, robust capital and other sources of value. While we are still working diligently to address remaining hurricane related issues, we are focused on the future, ready to take advantage of the opportunities that lie ahead. Our franchise in Puerto Rico continues to demonstrate its strength. It has proven its worth in a wide variety of scenarios, many of them extremely difficult. Looking ahead, there are many challenges, but we have no doubt that Popular as it has done in the past will manage these challenges and seize opportunities to continue to deliver solid results. We are also encouraged by the growth in our U.S. business. The recent rebranding from Popular Community Bank to Popular reflects the evolution of our operations in the U.S. Our focus in that market and now under a single brand, the growing collaboration between our operations in Puerto Rico, the U.S., and the Virgin Islands. This year in October, we will celebrate our 125th anniversary. We are proud of our history and even more excited about our future. We look forward to updating you on our progress in July. Thank you for your time. And we are now ready to answer your questions.
Operator: [Operator Instructions] The first question today will come from Alex Twerdahl with Sandler O’Neill. Please go ahead.
Alex Twerdahl: And first off, I just want to drill down on these - my first half, I just want to drill down on these deposit flows that you saw in the first quarter $1.7 billion, obviously a pretty big number especially coming on the heels of the $1.2 billion of deposit inflows in the fourth quarter. I think last quarter you kind of attributed some of the inflows to people not having to make payments on lending products, on their cable bills and electricity, et cetera and just being little bit more flush with cash? Is that kind of what's driving the first quarter too or is it more insurance money coming in or maybe just comment a little bit on sort of the dynamics that you're seeing you know just within the deposit balances?
Ignacio Alvarez: Well, I think, I think there's a little bit of everything, Alex, this is Ignacio. We've seen the economy of Puerto Rico, obviously picked up a bit after the hurricanes, a lot of our clients have a lot more cash than they had before either because they got collections from the insurance or because their businesses are up. And frankly, we've increased the number of our retail clients and commercial clients. So, that is also affecting the deposit flows and the other government deposits continue to be high. So, really we've seen an increase across the board, I don't think there's one particular reason we could point to.
Alex Twerdahl: And then just as that kind of sits on the balance sheet today, you know if you look at the average balance sheet, it seems like you know securities including cash is 41% of total assets which is roughly double from where it was a couple of years ago. I mean, do you think that at some point in the next couple of quarters, there's and I know that you did the Wells Fargo auto portfolio to help that number a little bit. But, is there more investing that can be done of cash balances to help drive a little bit more NII or is there still some of that behaviouralisation that we're willing to sort of see how it plays out?
Carlos Vazquez: Yes. I mean, all right, this is Carlos. The Westernbank will - sorry, hopefully when we close that will hold more than a little bit actually, almost $2 billion worth of cash that will be redeployed into higher yielding assets. After that we will continue to monitor the flow deposits and redeploy them, as we think it makes sense. Again the more time that passes, we’ll learn a little bit more, but the possibility is going up. So, in general, it is not our plan to have 40% of our asset investment and we preferred to have loans, and we're working hard to try to achieve that.
Alex Twerdahl: And then I just had a question for Lidio on the language in the release that $7.5 million of downward adjustment related to the Hurricane Maria while estimated losses. Can you just tell us exactly what that is? Is that taken the loss range that you published a couple of quarters ago, and adjusting the loss range down or is it taking the environmental related reserve, which I think was around $120 million in bringing that down by $7.5 million or just kind of exactly how we can interpret that, that data point?
Lidio Soriano: I think is, an estimated of the losses associated with after the hurricanes associated with what we expected to happen. We decreased that estimate by $8 million or $7.5 million to be more exact.
Alex Twerdahl: And do you have handy, what that total loss estimate was, there is currently?
Lidio Soriano: We have not provided that information. I mean I think we said that the increasing allowance was $122 million. So that's information that is publicly available.
Operator: The next question will be from Brett Rabatin with Piper Jaffray. Please go ahead.
Brett Rabatin: I wanted to ask so just thinking about the commentary, I realized there was some noise around the medallion portfolio this quarter. But just wanted to I guess think about the provisioning this quarter, the delinquency trends that you had to sort of post the payment moratorium you know for thinking about 2Q or maybe the rest of the year, would it not seem rational assuming that those delinquency trends don’t worsen at the provisioning levels would decline from here. And then just thinking about you know kind of the delinquency trends in 1Q. Would those seem to probably flatten out as you work through all of the adjustments to the existing mortgages and consumer?
Ignacio Alvarez: I think last, in the last webcast, we provided a little bit of detail in terms of when we think things were normalized. We thought that for the most part the consumer loan, the consumer portfolio would be normalized by this quarter. I think we continue to be, will continue to be the case except for the credit card portfolio which will take, will go into the second quarter. We see the mortgage portfolio as well as our commercial portfolio stabilizing more towards the second quarter or second half of this year. And we believe those are, those are the best information that we can provide you as of today.
Brett Rabatin: And then as far as the credit card delinquencies, what actions are you taking with those borrowers, and then how do we think about the impact of that in the next few quarters?
Ignacio Alvarez: We are reaching out to our clients making payment plans, if the case might be increasing the limits. So it is - you’re typical working out of a relationship with your clients on a day-to-day basis.
Brett Rabatin: And then from a - just a fee income perspective, I realize there is some volatility in some of the numbers. But we're quite back to normal. Thus the first quarter run rate particularly for mortgage banking, does that seem like a fair go-forward rate?
Ignacio Alvarez: Mortgage banking tends to be pretty volatile perhaps particularly because of the evaluation of the MSR. So I would hesitate to speak forward any comment for that will come in the mortgage, because again as you know the MSR, it does loss rate quite a bit. If you look at the other components of our mortgage income, you know part of it is volume related. And so if the volume stays flattish and then also net income should stay flattish as well and servicing income is probably leveling up. So I think well to drive the volatility there's going to a number of volumes and the MSR.
Brett Rabatin: And then just one last clarification, the loan growth guidance, I assume that it does exclude the reliant purchase in 2Q?
Ignacio Alvarez: Yes, of course. Yes. Absolutely.
Operator: The next question will be from Ken Zerbe with Morgan Stanley. Please go ahead.
Ken Zerbe: I guess you guys mentioned, I think Lidio perhaps mentioned the customers are currently being evaluated for payment plan options, so they came up a couple times, can you just remind us if you do find a customer with problems or they needs to be on some sort of other payment plan, have you already recognized the loss or the potential loss or the higher reserve due to that customer already or could we see some credit volatility as you work out, work with these customers over time?
Lidio Soriano: I think as we work with our clients under the premises that the clients having difficulty, most likely outcome initially is some type of loan modification or restructuring of the relationship that would entail sort of increasing allowance associated with doing a GVR. This is something that is ongoing and occurs every quarter. And as I said in the previous questions, I think I see the modification of the mortgage portfolio occurring more towards the second half of the year, so we still have some work to go through in terms of the mortgage portfolio.
Ken Zerbe: And then I guess just back on the deposit question, I think if I heard right, I think it was $2.6 billion of FEMA funds have come into the island. Are you able to identify how much of those FEMA funds actually are now deposited within the bank versus just normal increase in customer activity on the deposit side? Thanks.
Ignacio Alvarez: I don't think we have that number specifically for that, I mean for the FEMA funds. But again as I said, we do track the different categories and we've had increases in deposit across all lines, which will be retail, commercial. Most of the FEMA funds will be coming into municipalities or some public organization, not the private clients remember, a lot of this is actually flow, not stock, I mean the money comes and it gets spent. So while a reasonable amount of that money will flow through the bank, it doesn't really sits at the bank credit.
Ken Zerbe: So, I guess we assume the next whatever $10 billion, $20 billion FEMA funds coming in over time. Is it right to assume then that we're not really going to see an increase in deposit balances at Popular, it’s just, because it’s as you said, it's not a stock, it's a flow. So that money can come and go and it won't really affect you guys at all. Is that the right way of thinking of about it?
Ignacio Alvarez: I think the way to think it is, one effect is directly. I wouldn't focus on the FEMA funds itself. Now the FEMA funds come into the economy and they reimburse people for losses, they reimburse the municipality for work they've done in their recovery. They help pay for the reconstruction of it and that money not all of it obviously, but a lot of that money stays in the economy. It won't be that we'll see the deposit flows necessary from FEMA. We'll see it from our clients, the commercial clients and the individuals who receive the funds and also from municipalities that receive the funds. That's the way…
Operator: Next question will be from Gerard Cassidy with RBC. Please go ahead.
Gerard Cassidy: Did I understand your answer to the question about the Wells portfolio Carlos, but you're essentially going to replace the cash that's on your balance, some of the cash on the balance sheet with these auto portfolio loan, is that correct?
Ignacio Alvarez: Yes.
Gerard Cassidy: What kind of yield pickup do you guys see by doing that. The average yield in that portfolio versus what you're getting in your cash portfolio?
Carlos Vazquez: It was in this deck - the yield of the portfolio we are purchasing was in the deck we probably fair grade, I don’t have with me, they’re slightly over 7% I believe. And cash yields well 175, so if I subtract those two, and you’ll get a right ballpark.
Gerard Cassidy: The other question was the true up that you guys did with the FDIC. Is there any of that left to do or is that the kind of the last time that we’ll see that kind of item on the income statement?
Ignacio Alvarez: The revaluation happens every quarter until the other day is over. And as of how many years, sir?
Carlos Vazquez: More than over two years.
Ignacio Alvarez: Probably one or two years left. So that I think until the other things off.
Gerard Cassidy: And then you also had you commented Lidio did about the large commercial credit that you had issues with this quarter. Can you just share with us, was it a commercial real estate loan or was it a construction loan, C&I loan?
Lidio Soriano: It was a commercial real estate loan.
Gerard Cassidy: So it was above was a performing mortgage than I assume?
Lidio Soriano: It was performing and we made a determination this quarter to make out based on certain behavior to call it a make a special provision related to it.
Gerard Cassidy: And then finally, I think you guys mentioned that the cement production for the island is the highest it’s been in about 10 years. Are there any other economic metrics you can share with us showing how the growth is starting to pick up for the economy?
Ignacio Alvarez: Well, we mentioned auto sales also which is important because you know auto, for most consumers at least after you purchase your home, your car is your next biggest consumer spending item, and that is way up. So we're encouraged by that debit and credit transactions are above the same level they were last year. So that the consumer is spending. So we've seen debit and credit, auto cement those are the type of things that we're looking at.
Operator: The next question comes from Aaron [indiscernible] with Citi. Please go ahead.
Unidentified Analyst: With the auto transaction, I think you mentioned in the press release that this now does have to go through an additional regulatory approval process. What's your I guess what’s the reason that that language changed, and is there any risk that you’d have to divest in any of those assets?
Carlos Vazquez: As the second point, no, we are still planning to close on $1.8 billion, which was not the whole of reliables portfolio in Puerto Rico, but that number has not changed. Basically what happened is you know after discussing certain aspects of the transaction with our lawyers and certain conversations with the regulators who will determine that, that the regulatory approval was required. We are still confident or at least optimistic that we are still going to meet our deadline in the second quarter. And again the economics of the transaction have not changed either amount or price.
Unidentified Analyst: And then just lastly, is there any timing impacts from the net charge-offs is - this seems relatively low this quarter as that you come of the moratorium and you need the delinquency formation that come on the consumer side. Should we expect that those just naturally would start to see an increase in charge-offs as these delinquencies roll through?
Ignacio Alvarez: Could you repeat that one, one more time, I’m sorry?
Unidentified Analyst: I’m just thinking about in terms of the consumer assets and as you’ve kind of come off of the moratoriums, it takes a while for the delinquencies to roll through 280 days, so with the second quarter, just naturally have a higher level of timing related to the charge-offs on those portfolios?
Ignacio Alvarez: I think as I said during the introduction of the prepared remarks, I mean we believe what we have experienced in terms of consumer portfolio, I mean delinquency levels are back to pre-hurricane levels, so we feel comfortable with where we are except for the credit card portfolio where we have seen our increasing delinquency driven by customers that work close with pre-approved levels. In mortgage portfolio as we said, as we also said, we have seen an increasing NPLs driven by still evaluating certain customer for the post-moratorium payment options and in the commercial portfolio, we have experienced slight increase in early delinquency, but nothing significant so far. So, we still, I mean as I said I think the normalization will occur more towards the second half of the year, but we feel encouraged by the trends that we have seen so far. The volatility in our target number tends to be bulky commercial clients that hit now and then, as opposed to the consumer tends to move in trends. So, normally is not consumer, is just commercial, the one-off commercial client, that’s it.
Unidentified Analyst: And I guess, just I guess follow-up on that. I think Lidio had said in his prepared remarks that the uncertainties remain. Which uncertainties are you referring to with respect to that, is it across the entire book. Commercial, obviously you've talked about mortgage being second half, so that sounds like that’s where are - you have the, I guess least amount of conviction relative to those expect the masses?
Lidio Soriano: I think in our own terms is just uncertainty surrounding the marker in Puerto Rico, the flow of funds, the timing of the flow of funds into the Puerto Rico economy, I think those are for me the biggest uncertainties.
Operator: The next question will be from Jordan Hymowitz with Philadelphia Financial. Please go ahead.
Unidentified Analyst: This is actually Dan on for Jordan. Thank you for taking my questions. The first is in regards to Slide 14. I'm just trying to get some color around the movements in the mortgage balances quarter over quarter in both the U.S. and Puerto Rico. And then I had a follow-up question after that?
Ignacio Alvarez: 14. Give us one second. Does the slide highlight - titled the risk loan portfolio?
Unidentified Analyst: Yes, that's it.
Ignacio Alvarez: So, I mean this is a look at a very long-term trend in terms of I mean there is a difference of 10 years between one and the other. So, what we're trying to…
Unidentified Analyst: You could stop there. I apologize I thought it was 4Q 2017. I didn't appreciate it was a decade. Let me move to my second question. Thank you. The second is there was a recently failed IPO of a Caribbean based bank and I was just curious if you had - if those assets are anything that could be potentially appealing to you assuming that the seller would be willing to sell portions of those assets?
Ignacio Alvarez: I think we've said in the past that our main focus for now is going to be in the markets that we are in. So, we're in New York, New Jersey in the South Florida region. And I think that that's going to be our main focus. We obviously when someone presents those opportunities, we look at them, but I think our focus is to grow in the markets that we are in right now.
Operator: Next question will be from Glen Manna of KBW.
Glen Manna: I just wanted to ask, you had said in the press release that with regard to the reliable transaction that you had to secure regulatory approval whereas previously you thought you didn't need to, kind of what changed in your thinking? And if you could let us know where you stand in the process of securing that approval?
Ignacio Alvarez: Well, I don't want to get too much in the details in the weeds. But basically just when we discussed it with our attorneys and certain aspects of the transaction and with our regulators, the consensus was that we did need regulatory approval. At this point, we're still optimistic that that won't affect the timetable that we're still close by the end of the second quarter. And again that it will - as I said previously, it will not affect the amount of assets that we're purchasing or the otherwise the economic trends of the transaction. Basically, I will leave it at that.
Glen Manna: And I remember when the debt came out, I think you had estimated that CET1 would be reduced by about 130 basis points versus pro forma 4Q 2017. Is that still a good number to use that 130 basis points and with the 30 basis point building CET1, could we now use a pro forma 15.3 for CET1 after the transaction closes?
Ignacio Alvarez: Yes. I think that the delta is partly still our right. But you're subtracting from higher numbers.
Glen Manna: And lastly, I think in BPPR, as of 4Q 2017, government - state and local government deposits were about $6.3 billion. Do you have that number as of the end of the first quarter?
Carlos Vazquez: It is around $7 billion more or less. It’s going to be in the…
Operator: The next question comes from Joe Gladue with Marion Capital Group. Please go ahead.
Joe Gladue: Just had a couple of questions, I guess, margin related. First off, maybe getting down in the REITs, but we look like there is 80 some, basis points reduction in the average yields on that consumer portfolio. Is that more related to the NPL inflows or was there something else affecting toward driving those yields down?
Ignacio Alvarez: The bulk of that is the credit card issues that Lidio discussed and the delinquency going up in the credit cards, but most of it is in credit cards.
Joe Gladue: And then, just more broadly, I'm just wondering if you could comment I guess more on the deposit side, but maybe on the loan side as well. The inflow of funds on the island from FEMA and insurance, is that having any impact on sort of their competitive environment and pricing on deposits? That’s just one of you could talk about that dynamic.
Ignacio Alvarez: Well, I think - I can talk. This is Ignacio. I can talk about it from our perspective. Our deposit costs have been remarkably stable for the last two years and we have not seen any material change in that so far. So we obviously we look at the market, we tried to price it based on market conditions, but last two years, our deposit costs have been remarkably stable and we're not seeing any major change in that right now.
Carlos Vazquez: And if you, if you look at it, the, since, since the banking assets have been pretty flat in Puerto Rico, in general, obviously, there is not a economic logic or that drives deposit prices up, because you know banks are fairly well funded with stable banking asset levels and stable deposit levels, deposits that are still going up in some cases. So there, there isn't a big driver causing deposit prices to go up because you had to fund much people.
Ignacio Alvarez: And on the loan side, we continue to compete with our competitors that we are seeing you know increased demand in certain sectors because of the hurricanes and obviously, we compete for every loan we put on the books. So it's still on that side you know we are out there every day chasing the loans.
Operator: [Operator Instructions] The next question will be from Matthew Keating with Barclays.
Matthew Keating: I had a clarifying question on the airline passenger data that you brought up. What month was that from? So I think you mentioned that since September, approximately 224,000 net passengers have left by air. Was that, is that through March or what was the latest data stated that we’ve seen was through January. So I’m just curious about you know when that data, that data point comes from, thanks.
Ignacio Alvarez: I believe that was through February. We’ll have to confirm that, but I believe it was through February.
Matthew Keating: Then what do you think in your view is driving at the wide discrepancy which mean the number of jobs lost versus the outflows here. Your expectation has just a lot of elderly and young people that have left the island. How do you just interpret that data? It's a bit hard to square with.
Ignacio Alvarez: It's very hard to square, we discussed it a lot. But if you dig into, you raised a good point about the elderly and perhaps the young, if you dig into the Puerto Rico participation rate which is very low compared to the U.S., the real anomalies occur - the real anomalies occur on the outer bounds of the age group. So 55 and above and less than 25, the participation rate goes dramatically lower in the state. In the middle age groups, it's not that much lower than the lowest U.S. jurisdiction. So that may explain part of it, maybe some of these people were self-employed in the informal economy. But yes, it's something we look at, but obviously so far we've seen in the employment data, but not only the employment data, but you've seen in deposit, you’ve seen in bank customer clients that have not had a dramatic reduction. Certainly not in our institutions, but what we hear from other institutions is the same thing. So the employment data is one, but there are other - again you see in the spending, the credit and debit card spending is higher than in the first quarter than it was in the first quarter last year. So it's an anomaly, it may be explained by that, I wouldn't be sincere if I tell you we know all the reasons, we scratch our heads and look at this data all the time. Let me correct something I said, the airport figures from January.
Matthew Keating: And then I guess in general in past natural disasters, the typical trend is usually these deposits start to come in and there's a two quarter lag - two to three quarters lag before you see more material credit demand. So I understand you guys have flattish loan growth in Puerto Rico, but given the kind of the cement sales that you're seeing at a decade high, is there, as you look out to next year, do you think there's a potential right that you see some actual growth in Puerto Rico, that's non-acquired portfolios? Thanks.
Ignacio Alvarez: I don't want to make a judgment call on that, but I can say anecdotally and especially in the higher markets like our corporate market, we are starting to see a healthier pipeline. And like you say, it's taken a while for some of these deals to materialize, but we are starting to see the pipeline build up, especially in the corporate sector.
Operator: The next question is a follow-up from Jordan Hymowitz with Philadelphia Financial. Please go ahead. Jordan, you may proceed, perhaps your line is muted on your end.
Jordan Hymowitz: When you look at the latest government projections for the 6.7 surplus, which though includes a $1.3 million in legal expenses and doesn't include $5 million in Medicaid aides, so really the numbers could be $13 billion or $14 billion. You know, have you thought, well, in that projection, it has Puerto Rico growing at a GDP of 7% plus this year. I mean that's China levels. I mean is that really a possibility that Puerto Rico's GDP could grow 7% and if it does grow at that level this year, what could that mean with the bank with a 50% market share, like what type of growth or deposit….
Carlos Vazquez: But it’s not this year. Remember that, it’s off a dip, it wasn’t 1.13%. I don't remember, I think they adjusted it, it’s not 13%, it’s little bit less, but if you add the two numbers together, those two years together, you still have a negative number. So, I personally believe that probably the dip will be less than they anticipate and the growth will be also a little bit less than they anticipate. But keep in mind, yeah, it looks great that year, but if you take the year before, it doesn’t look that great.
Jordan Hymowitz : I'm just saying that it could be a massive inflow of aid this year and the recovery could be much sharper and quicker than a lot of people think which could result in more economic development.
Ignacio Alvarez: Again I think in our prepared remarks, we said the recovery will depend on the amount, but almost as much as the amount of the timing of the flow, the sooner the dollars get here the better. So the key to the economic growth is investment and those moneys are crucial for investment in infrastructure and other.
Jordan Hymowitz : And when you say sales tax receipts are up year-over-year, when we trying partially that it's used up like 5% or 6%...
Carlos Vazquez: I have to stop it there. I don't believe I ever said sales tax, I said debit and credit card sales are up.
Jordan Hymowitz : And do you have a sense of how much they are up?
Carlos Vazquez: I know it's up. But I don't think I have the number. We’ll try to get that for you. It's a relatively small number. Well, if we can get it before the end of the call, we'll get it, but we can’t.
Ignacio Alvarez: If you look at - we’ll have on our press release, you have the year-over-year fee income in this - sense of that you know relative to the model.
Carlos Vazquez: It's not a huge number, but to us the most important thing is that given the impact of the hurricanes and given the out migration, actual - the aggregate amount of sales are actually up. So that's what most impressed us.
Operator: Ladies and gentlemen, this concludes today's question-and-answer session and thus concludes today's call. We thank you very much for joining Popular's first quarter 2018 earnings call. You may now disconnect your lines. Take care.